Operator: Greetings, and welcome to the Alcon’s First Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Dan Cravens, Vice President of Investor Relations. Thank you, sir. You may begin.
Dan Cravens: Welcome to our Alcon’s first quarter 2024 earnings conference call. Today, we issued a press release and interim financial report and posted a supplemental slide presentation on our website to enhance today's call. You can find all these documents in the investor relations section of our website at investor.alcon.com. Joining me on today's call are David Endicott, our Chief Executive Officer; and Tim Stonesifer, our Chief Financial Officer. Our press release, presentation, and discussion will include forward-looking statements. We expressly disclaim any obligation to update forward-looking statements as a result of new information or future developments, except as required by law. Our actual results may differ materially from those expressed or implied in our forward-looking statements. Accordingly, you should not place any undue reliance on any forward-looking statements. Important factors that could cause our actual results to differ materially from those in our forward-looking statements are included in outcomes form 20-F and our earnings press release and interim financial report on file with the Securities and Exchange Commission and available on the SEC's website at sec.gov. Non-IFRS financial measures used by the company may be calculated differently from and therefore may not be comparable to similar measures used at other companies. These non-IFRS financial measures should be considered along with, but not as alternatives to, the operating performance measures as prescribed per IFRS. Please see a reconciliation between our non-IFRS measures with directly comparable measures presented in accordance with IFRS and our public filings. For discussion purposes, our comments on growth are expressed in constant currency. In a moment David will begin by recapping highlights from the first quarter. After his remarks, Tim will discuss our performance and outlook for 2024. Then David will wrap up and we will open the call for Q&A. With that, I'd now like to turn the call over to our CEO, David Endicott.
David Endicott: Thanks, Dan, and thank you all for joining today's call. I'm pleased to report another quarter of strong performance across our business. We grew sales by 7% to $2.4 billion. We grew core diluted earnings by 21% to $0.78 per share, and we expanded core operating margin to 22%. These results reflect the strength of our broad portfolio products. And I'm particularly pleased with the performance of the Contact Lens business, where we saw another quarter of record sales. It's clear that our business is delivering solid growth supported by leading positions in durable end markets. Now, starting with surgical, in the coming months, we expect to receive FDA approval for our UNITY VCS phaco machine. As I've said before, UNITY VCS is a best-in-class phaco and vitreoretinal console that was designed to create near physiological conditions during surgery, which is expected to improve performance and efficiency without compromising safety. We're encouraged by the feedback we've received from clinical utilization in initial cases performed by surgeons around the world. UNITY will be a meaningful improvement in cataract and vitret surgery. Today there are more than 28,000 of our Centurion and Constellation devices in the market that we expect to upgrade to the UNITY platform over the next decade. Toward the end of 2024, we'll start user preference evaluations with surgeons in the U.S. and select international markets ahead of a broader commercial launch in 2025. Additionally, following the launch of VCS, we will offer a cataract only system called UNITY CS, which will be available starting in 2026. Importantly, UNITY brings with it new and innovative consumables that drive incremental benefits for the surgeon. The launch of these instruments will help us secure the next decade of our consumables business, which is a large, recurring, and profitable revenue stream. Now I'll move to implantables, where we continue to outpace market growth, and I'm particularly pleased by our performance in international markets. I'll start with PanOptix. PanOptix is the most implanted trifocal in the world, thanks in part to a patented design that optimizes the intermediate focal point at 60 centimeters, which is the most common middle vision sight distance. Additionally, data presented at the recent ASCRS conference shows that PanOptix delivers high patient satisfaction partially due to the low incidence of visual disturbances. This is a critical factor as surgeons and patients consider any advanced technology lens. Building on this success, we recently received pre-market approval from the FDA on two separate innovations that improve PanOptix performance. Preference studies will begin in the second-half of 2024 with the goal of bringing a next generation PanOptix to market within the next 12 to 18 months. Now I'll turn to Vivity, which recently surpassed more than 1 million implants, making it the most implanted extended depth of focus lens globally. Vivity’s success is underpinned by our patented, non-defractive technology that stretches and shifts light without splitting it. The optic delivers excellent distance and intermediate vision, as well as functional near vision. It's designed to simplify presbyopia correction, prioritizing patient satisfaction, while minimizing surgeon and clinic chair time. The lens's performance has been confirmed by large scale real world data that includes patients with common comorbidities such as post-refractive eyes. We're excited to further expand on the success of both of these lenses around the world. In China, our team is working hard in preparation for the Volume Based Procurement Award. We expect a gradual ramp-up of activity starting in the second-half of the year as the award will be implemented on a province-by-province basis. Next, I'll briefly discuss our digital innovations in the surgical space. Recently, the first ever study to evaluate the impact of our Smart Cataract Planner on patient outcomes demonstrated refractive target accuracy and excellent distance visual acuity. Now with this study and our earlier time in motion study, we have data showing that Smart Cataract drives meaningful efficiencies for surgeons and their staff. Importantly, as this program grows, so do its capabilities, including leveraging AI-driven algorithms to improve outcomes for surgeons and patients. Now I'll move to contact lenses, where I continue to be extremely pleased with our performance. As we've talked about previously, we've made significant investments in this business over the past several years to drive commercial innovation, expand our manufacturing capacity, and add profitable growth. The foundation of our success is our proprietary manufacturing technology. This innovation gives us the agility to produce a variety of products including different materials, chemistries, and geometries on the same lines. This has enabled rapid innovation demonstrated by the six new contact lens platforms we've launched since 2020, including the Precision 1 family, the Total 30 family, and DAILIES Total1 for Astigmatism. Importantly, our innovations are always developed with the patient and the eye care practitioner in mind. One example of our surface chemistry innovation is our water gradient technology. With this technology, the water content at the outer surface of the lens reaches almost 100%, which is nearly the same as the surface of the cornea. Additionally, it enables excellent oxygen transmissibility to deliver exceptional comfort even after a full day of wear. We feature this technology on DAILIES Total1 and Total 30 contact lens families. Another area we're innovating is in specialty lenses. In particular, we've brought three new toric lenses to market over the past four years. This is important because of the significant unmet need. Our estimates show that toric is the fastest growing segment of the contact lens market. This presents a large opportunity since a low number of astigmatic patients are currently wearing toric contact lenses. These lenses leverage our proven precision balance technology. This proprietary design features anchor points that deliver exceptional stability for the patient and a smooth fitting process for the physician. So based on our recent results, it's clear that our investments in innovation and in manufacturing have paid off and are driving market share and significant growth. Now finally, I'll turn to Ocular health. I'll start with the over-the-counter portfolio, which includes the sustained family of artificial tears, which grew double-digits in the first quarter. With sustained, we're continuing to win with our multi-dose preservative-free innovation, which is driving market expansion as we launch around the world. We've launched in more than 40 countries, and in low-penetration markets like the U.S., we're seeing the preservative-free category continue to expand. In our pharmaceutical business, I continue to be pleased by the total prescription growth of Rocklatan and Rhopressa. In particular, Rocklatan TRx grew approximately 9% year-over-year, while the broader glaucoma market was flat. At the recent ASCRS conference, Phase 4 data presentations further supported the intraocular pressure lowering efficacy of Rocklatan, while maintaining the convenience of a once daily dosing In the coming months, we will continue to focus on expanding market access for these important medications. Lastly, on our dry eye pharmaceutical candidate, AR-15512, we are in the process of preparing the new drug application for submission to the FDA, which we expect to submit in the coming months. Next, I'll briefly talk about market dynamics for the first quarter. In Cataract, we estimate the global procedures were up approximately 2%, slightly softer than historical levels. Additionally, global ATI well penetration was up approximately 130 basis points year-over-year, mainly driven by international markets. In contact lenses, we estimate the retail market was up approximately 7%, driven by pricing and continued steady wearer trade-up. Now before I turn it over to Tim, I want to briefly comment on our planned acquisition of Belkin vision and its innovative technology, the Belkin Vision Eagle. With this potential acquisition, Alcon will further our commitment to the glaucoma space and pioneer the expansion of interventional glaucoma globally with the Eagle device. We expect the transaction to close during the third quarter, and we look forward to welcoming the Belkin Associates to the Alcon family. With that, I'll turn it over to Tim, who will take you through our financial results and provide more color on our outlook.
Tim Stonesifer: Thanks, David. We're pleased to report first quarter sales of $2.4 billion, up 7% versus prior year. This growth is primarily driven by strength in our innovative contact lens portfolio and in ocular health. Our first quarter U.S. dollar sales growth included approximately 200 basis points of pressure from foreign currency. In our surgical franchise, revenue was up 6% year-over-year to $1.3 billion and implantables sales were $433 million in the quarter, up 6% year-over-year, mainly driven by our advanced technology intraocular lenses, including Vivity, PanOptix, and our monofocal torics in international markets. In consumables, our first quarter sales were up 7% to $686 million. In the quarter, we saw strong demand for vitrect and cataract consumables, particularly in international markets. We also saw some contribution from price. In equipment, sales of $219 million were up 2% year-over-year. This is consistent with our expectations that we discussed on our last earnings call as we lost strong performance in 2023 and are in the late stages of the international upgrade cycle. We continue to expect equipment sales growth to be largely flat for the remainder of the year until we begin to roll out the new UNITY platform. Turning to Vision Care, first quarter sales of $1.1 billion were up 10%. Contact lens sales were up 11% to $671 million in the quarter. As David mentioned, our innovation, including toric and multifocal modalities, continues to win in the market. Additionally, we saw strong contribution from price in the quarter. In Ocular Health, first quarter sales of $435 million were up 8% year-over-year. This was driven by our portfolio of eyedrops, including the sustained family of artificial tears, which saw another quarter of double-digit growth. I want to briefly discuss how pleased I am with the improvement in Vision Care profitability. As David mentioned, we have made significant investments in this franchise. These investments, coupled with strong commercial execution, have enabled us to grow the franchise's segment contribution margin from a low point of 16.6% in 2022 to 23.8% in the first quarter of 2024. The robust sales growth we've delivered on the past several years is driving significant operating leverage. While we expect to see normal seasonality throughout the year, we look forward to continued year-over-year improvement in Vision Care profitability. Now moving down the income statement. First quarter core gross margin was 63.4% broadly in line with last year. This is better than we anticipated mainly due to the timing of customs duties refunds, which positively impacted gross margin by approximately 50 basis points. For the full-year, we continue to expect gross margins to be broadly in line with 2023. Core operating margin was 22%, up 260 basis points year-over-year, driven by operating leverage from higher sales and the timing of certain discretionary spend, including R&D and SG&A expense. First quarter interest expense was $45 million broadly in line with last year. Other financial income and expense was a net benefit of $12 million, compared to a net expense of $8 million in the first quarter of last year. This improvement was primarily driven by higher interest income and lower foreign currency losses. The first quarter average core tax rate was 23.2%, compared to 18.4% last year. The first quarter was impacted by a net expense from discrete items. For the full-year, We continue to expect the core effective tax rate to be approximately 20%. Core diluted earnings were at $0.78 per share in the quarter, up 21% from last year. Now, before I touch on our outlook for 2024, I'll discuss a few cash flow and other related items. Free cash flow for the quarter was an inflow of $229 million, compared to an outflow of $19 million in 2023. This improvement was driven by higher cash from operations. For the full-year, we continue to expect a meaningful step up in free cash flow versus 2023. Before I move to our outlook, I'm pleased to report that at our annual general meeting last week, shareholders approved the dividend of CHF0.24 per share in line with our payout policy of approximately 10% of the previous year's coordinate income. I want to thank our shareholders for their continued support. Now moving to 2024 guidance. Our current outlook assumes that markets will grow in line with historical averages of mid-single-digits and exchange rates as of the end of April hold through year-end. As such, we're maintaining our full-year top-line guidance of $9.9 billion to $10.1 billion. Additionally, we are increasing our constant currency sales growth guidance of 7% to 9%. However, given the recent strengthening of the U.S. dollar, we now expect an incremental $100 million of top line foreign exchange pressures versus our outlook in February. If April rates persist, we will likely trend toward the lower end of our guidance range. Moving to operating expenses, we continue to expect full-year core R&D expense to be toward the high-end of the range of 7% to 9% of sales. Turning to profitability, despite continued currency headwinds, we are maintaining our full-year core operating margin outlook of 20.5% to 21.5%. Despite approximately 60 basis points of pressure from FX, we are currently trending toward the midpoint of the range. Moving down the income statement, we now expect interest and other financial expense to be between $180 million and $200 million. As I mentioned earlier, we continue to expect our full-year core effective tax rate to be approximately 20%. In terms of phasing, we expect the core tax rate to be slightly higher than 20% in the first-half of the year and slightly lower than the second-half. Based on all these factors, we're maintaining our core diluted earnings guidance range of $3 to $3.10 per share, which now corresponds to 15% to 18% constant currency growth over 2023. Despite the FX headwind I mentioned previously, we are absorbing an incremental $0.08 of FX pressure versus our guidance in February, and are currently trending towards the midpoint of our guidance range. In terms of phasing, we expect most of the incremental FX pressure in the second and third quarters. Finally, I want to thank the entire Alcon team for a great start to 2024. With that, I'll turn it back to David.
David Endicott: Thanks, Tim. To conclude my remarks, I want to thank the team once again for a strong start to the year. These results reflect the hard work and commercial expertise of our team, our broad and balanced portfolio products, and the durability of our end markets. As we look to the remainder of the year, we continue to be excited about our strong in-market performance and our robust pipeline of products. We've got a number of growth drivers and a position at Alcon nicely to expand sales faster than our markets, deliver operating leverage, and long-term shareholder value. With that, let's open the line for Q&A.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Graham Doyle with UBS. Please proceed with your question.
Graham Doyle: Good morning guys, thanks for taking my questions. It was very helpful to get some color on the UNITY launch and also on the progress with PanOptix 2.0. Would you be able to give us a bit more color as to your expectations around PowerVision, so the accommodating lens and how you're thinking about timelines in terms of sharing data on that? And then also just a refresher of where we are on dry eye and when we might submit that? And then lastly just if you give us a little bit of color on the contact lens pricing versus volume and where you might think that goes through the rest of the year? Thank you very much.
David Endicott: Yes, thanks, Graham. Just on UNITY and PanOptix, as I said, we're excited about UNITY being approved probably in the next couple of months here, maybe sooner. We submitted it, you know, late last year, usually about six months or so to get it back from FDA. So I think we're in a pretty good place there. We will be careful with that launch. Obviously it's a very important part of what we're going to do next, so we will put it in the hands of some folks, let's see how it runs for a while before we fully launch it really next year. So think about revenue as next year. PanOptix Pro is also, it's similar in many ways because we've got two approved ideas. We want to improve this product. We're going to have a really good look at those and make sure that whatever the surgeons really feel like is going to be the most important idea gets to market. So we're working through that preference testing over the next six or 12 months. So directionally expect that again next year. PowerVision, we should have some data late this year. We are first-in-human trial. Should be back to us sometime in the fall and I think we'll either present it at a meeting or we'll present it in one of these calls. But we'll get that data out as soon as we have a complete data set. 512 is in -- should be submitted shortly, we're kind of again this summer is the right timing to think about. And again, that would be about a year's PDUFA. So expect that again, middle of next year. So a nice series of innovation agenda items coming in the near-term, really helping us in 2025. On price and volume, I would just say the contact lens price, I think, was around half to a third, you know, somewhere in that zone versus the volume. So I think directionally, you know, it was some good price movement for us, but the volume was also very strong. I think we were one of the only few people that grew share in the quarter, and directionally our unit volume as a consequence of that was up.
Graham Doyle: Awesome. That's really helpful. Thanks a lot, guys.
Operator: Our next question comes from Veronica Dubajova with Citi. Please proceed with your question.
Veronica Dubajova: Hey, guys. Good morning, good afternoon. Thank you for taking my questions. It's going to be everyone's favorite topic. I just wanted to circle back on U.S. ATI wells and maybe kind of push you David a little bit on what you are seeing in terms of penetration and why do you think we are still stagnating at the levels that we've been at now for six, seven quarters? What is it going to take for things to get better? And then maybe just a thought on the competitive environment. Obviously, we continue to feel lots of questions on some of the new products that are coming in. What are you seeing out there and hearing from folks would be very helpful? And then my just quick second question is on the guidance upgrade to constant currency revenue growth, if you can tease out for us whether surgical or contact lenses or ocular health are the biggest driver of that, if you can give us some specificity around that? Thanks guys.
David Endicott: Yes, Veronica, let me try and get to the implantables question. You asked a lot in that one and I'll try and unpack it best I can. I think directionally implantables was obviously a very strong quarter for us in ATI wells internationally. We've got a lot of opportunity there with the China VBP coming, that's an important play for us. But also Europe was very strong. We gained share in PCI wells. We gained share around the world and we are introducing Vivity still in some markets. So there's some really strong performance, I think internationally. The U.S. was solid. I mean, the U.S. was -- the market was a little bit soft in the U.S., I think it was 2% overall and it was low in the U.S., I think it might've been 1% in the U.S. So it was a little bit soft, but I think directionally, what you're really getting at is, you know, what's the competitive set look like? And look, there are a number of new products coming in. J&J's got stuff, B&L's got stuff, but nothing that we didn't anticipate. And so I think directionally, you know, we're very comfortable with the share that we're -- that we've got. We actually in the U.S., we gained share in monofocal, we gained share in PCIOLs, we're still well over 80%. And it's really the torics that are the fight. And so I think you're going to see more of that. We expect it. And it's what we're geared up for. Relative to the second question, which was kind of new products, I don't know that there's anything new down the road in front of us other than a couple of things that are probably next year or later. So I'll let the competitors kind of brief those for you. On the constant currency revenue growth, look, what's driving it this year is obviously we're outperforming on the contact lenses. And we were excited to see the share movements. We've been pleased with the toric uptake in particular. And I do think that as you reflect on where we're going forward, as I've said for a while, the broad portfolio that we have both geographically and across our businesses gives us a lot of stability going into these markets. So if we have markets that grow mid-single-digits and we outperform that, again, that's kind of our thesis going forward. In this particular moment, international is doing very well, and that's helping us relative to the U.S. and Contact Lens and Vision Care is doing very well. So again, I would look for those to continue.
Tim Stonesifer: Yeah, and as far as the foreign exchange, Veronica, it's pretty much evenly distributed across the categories.
Veronica Dubajova: Excellent. Thanks, guys.
Operator: Our next question comes from Ryan Zimmerman with BTIG. Please proceed with your question.
Ryan Zimmerman: Good morning. Thanks for taking the question. I want to ask, two, the first on Belkin Vision and the second on price. So the first one on Belkin, you know, they sell the direct SLT device for the office setting. David, I'd love to get your thoughts on kind of where you see the SLT fitting in terms of your glaucoma treatment portfolio, but also in the context of treatments in glaucoma, is this what you want to do with the device? Is there more to using the Eagle device beyond DSLT when you think about kind of its benefits for glaucoma patients?
David Endicott: Yes, Ryan, it's a great question. And, you know, look, we see an emerging consensus out there amongst the leaders in glaucoma that the right place to start patients is with SLT and DSLT in particular we think is more convenient, it's easier to use. It's a really, I think, exciting kind of advance, if you will, to make this kind of the surgeons pick up the SLT idea where it's relatively difficult right now. You know, you got to hold a -- you know, a gynecoscope, you got to get into the angle. It's tricky to do it with a normal laser that you have today. This is a much simpler idea and we think will advance the treatment. But the key to that really is that most people, and there was, you know, there's a piece of work that I think anybody can find. It's called the light study. It was done several years ago. But it basically argues that the first thing we should be doing, and sooner rather than later, is treat glaucoma patients with laser trabeculotomy. So, or sorry, trabeculectomy. So, this is, I said, sorry, it's trabeculoplasty. But the idea, of course, is that this is a big part of us starting down a glaucoma idea where we have drops, we have laser therapy, we have an intervention with a stent. We think this is good white space for us, and glaucoma is a really large category. So directionally, this is a good start for us into the beginning parts of where the patient journey begins.
Ryan Zimmerman: Got it. And just a quick one on that. Do you have to do any more clinical studies? I mean, I've looked at the studies for Belkin pretty on par with SLT. Do you feel like you need to do any more clinical studies for that? And then I'll just add to the second question up front, but you know you've got some price on consumables as well. You called out the pricing on contact lenses. I'm curious what the pricing benefit was in consumables and how to think about the benefit of consumable pricing next year conceivably when UNITY is available, I imagine that's going to be a nice growth driver in the consumable segment. Thanks for taking the questions, guys.
David Endicott: Of course, yes. On the clinical studies around Belkin, we don't really anticipate anything for approvable status. I mean, it's approved at this point in the United States and also in Europe. So we're satisfied with that process. We will probably, I'm sure, want to do more work around this to support the intervention earlier and the success of that intervention with patients and frankly the ease and ease of use for the surgeon. So directionally, I think we're excited about Belkin and I would just say that we look forward to getting that into the field probably late this year, early next. When you get to the consumables business, there was a little bit of price in consumables, but again, I wouldn't think of that as the major driver. What's been driving consumables for us has been the footprint growth that we've had on the equipment side over the last couple of years. I think you'll note that if we go back, we've had a really good run with Constellation and with Centurion, and our share of PHACO PAKs has gone up, even despite the last two launches against us. So directionally, we're picking up a little bit of volume, and then we pick up a little bit of price as we mix to kind of the more modern equipments. And think of that as, like, the handpieces and the devices that we use to open and close the eye, and so blades, knives, everything else that goes with it. Generally speaking, the folks on the ground are always trying to improve the speed and the safety of the procedure. So usually it's mix that's driving the price piece of it. And on consumables for next year, look, I mean, I think we haven't priced the consumables or the UNITY unit yet. We are thinking hard about it. There's a lot of work going on to figure out really what's the optimized value here. A lot of what we're trying to figure out in the near-term is how much efficiency can we generate for the surgeon? How much faster can you be with this? How much safer can you be with this? And if we can really improve our efficiency in the OR, then again, that helps the economics of the surgeon in the facility and obviously we'd choose to want to share in that, so we're working through the math on that right now.
Operator: Our next question comes from Richard Felton with Goldman Sachs. Please proceed with your question.
Richard Felton: Thank you very much for taking the questions. Two from me, please, both on margin. So Tim, I think you said on your Q4 call that you expect H1 margins to be down by 100 basis points year-on-year? Obviously, Q1 is coming a lot stronger than that. My question is heading into Q2, is that 100 bps guide still relevant? And we should expect a much softer Q2 from a margin perspective or has the underlying momentum been a little bit better than you had previously expected? And then also a follow-up, also margin, you referenced the timing of discretionary spend as a driver for margin year-on-year. Are you able to quantify the impact of that please? And also say what parts of your business that impacted? Thank you.
Tim Stonesifer: Yes, so starting with the 100 basis points that we referred to in the last call, that was related to gross margin. So if you look at gross margin year-over-year, it was flat. We have about 50 basis points in there that was really timing of the duties that we called out. So I would step that margin rate down by call of 50 basis points and as you think about the progression throughout the rest of the year, Q2 sequentially will probably be down a little bit more as we have more inventory flowing through that higher cost inventory that we spoke about. And then it'll start ramping up in Q3 and Q4. But again, total year-over-year should be relatively flat. And as far as the discretionary, I mean, I would call out these 50 basis points on the duties. So that's obviously in the gross margin section of the P&L. And then I would look at R&D, I mean, R&D was a little bit light in Q1. We came in at about 8% of revenue as we talked about on the original guide. We're guiding 7% and 9%. We think we'll be at the high-end of that. So I would expect a little bit more R&D flowing through the P&L in quarters Q2 through Q4.
Richard Felton: Great. Thanks very much.
Operator: Our next question comes from Larry Biegelsen with Wells Fargo. Please proceed with your question.
Larry Biegelsen: Good morning. Thanks for taking the question. So David, UNITY is a big opportunity for you. How far behind is the phaco only clearance in the U.S.? I heard it's a ‘26 launch, but just the clearance, how far behind is it? And we estimate the UNITY platform can contribute to above average growth in equipment and surgical as soon as 2025. Would you agree, and what are the margin implications? And I had one follow-up.
David Endicott: Yes, well the last one is easy because the margin on equipment is always a little bit lower so it's on the low end of what we sell. So think about that as an on to gross margin, a slight downside. But I think directionally realize that you're right, the revenue growth is going to drive a lot of profit growth and that's what we'll be looking at is EPS growth on this thing. Over time, we expect this to be a relatively stable market upgrade. So think of it really as a 10-year cycle with the first couple of years being a little bit more aggressive than the outer years, because people are going to want the new stuff. But they also -- those that bought a Constellation or a Centurion not too long ago, they're still working and they'll go for another seven, eight years. So directionally, think of the trajectory that way. I think on the other piece of it, CS is behind an approval, and I don't know if we've commented on it exactly, but directionally, think of it as a ‘26 revenue idea. So we don't think we're that far behind with CS, maybe six months to a year. But again, we'll let you know as we get closer to it. The combined machine is obviously a big advantage internationally because most of the international markets share ORs and we think that, that has a real appeal. The speed and simplicity of our new fake emulsification method is really exciting. And the fluidics are down around physiological IOP. So we're -- we think the -- not just the CS, but really the joint machine has a lot of efficiency gain for the market. So we're excited about it. And then just above average growth in ‘25, yes, we had said at Capital Markets Day, you'll remember that the market will probably pick up because to a large degree in the equipment market, we have been a large part of that. And so I think from our point of view, the market will likely grow into the mid-single-digits range, whereas historically it's been a little bit below that. We'll obviously be a big part of that growth and probably be real close to the market growth because, again, to a large degree, we're a big part of it. I would just make one other comment on equipment since you mentioned it. We had a very good quarter on our biometer and also on our microscopes. So one of the positive things I think hidden down in the equipment is we're having a nice impact with the share of those products.
Larry Biegelsen: That's super helpful. And Tim, it's unclear to me, did you raise the constant currency revenue guidance or not? Because I heard you say you obviously the numbers are higher at the midpoint, but you pointed to the low-end of the new range and what's assumed for implantables in that? Should we be thinking about low-single-digit growth for the rest of the year? Thank you.
Tim Stonesifer: Yes, so we raised constant currency and on the absolute dollars, obviously you have to triangulate the currency rates with the absolute dollars. If rates stay where they are in April, we're trending more towards the lower end of that. But given the midpoint of everything else, we're at the midpoint of the EPS guide. I'm sorry, what was your second question?
Larry Biegelsen: Yes, so I understand when you were pointing to the low-end, Tim, you were talking about the dollar sales, you weren't talking about the low-end of that 7% to 9%.
Tim Stonesifer: Correct, correct.
Larry Biegelsen: Okay, thanks. Implantables, just kind of, should we be thinking about low-single-digit growth for the rest of the year? Thank you.
David Endicott: Yes, I would think about whatever the market sits at, again, I suspect it's kind of in the mid-single-digits or to the low-end of that. Usually a normal global market is going to run 4% or 5%. So I would think about it right around there, plus or minus, a little bit in the U.S. And I think directionally, international should grow a little bit faster than that.
Larry Biegelsen: Thank you.
Operator: Our next question comes from Jack Reynolds-Clark with RBC Capital Markets. Please proceed with your question.
Jack Reynolds-Clark: [Technical Difficulty] China and IOL there, Head of VVP. Are you seeing any impact there in your relatively small China business? And do you have any kind of update about what you're hearing about that ahead of VVP rollout? Thank you.
David Endicott: Hey, Jack, the first bit of that cut off, can you start over just a little bit because we missed the first bit of it. I got the China VVP piece. Was there anything else?
Jack Reynolds-Clark: No, that was it. I mean, are you seeing any impact ahead of that coming in? And then any update to your assumptions around that?
David Endicott: No, China had it. We had a good quarter in China. I mean, it grew, kind of, low-teens, I think mainly based on consumables and refractive equipment for us. But our business was pretty stable, because it's principally in the private markets or has been historically. And so I think directionally, we didn't see much. I think there is some activity in China as people are exiting the VVP. And again, I think there'd be some noise in the system if that's what you're referring to as people kind of load up some of the distributors for their last sale, trying to push that along. So but again that did affect us in any way.
Jack Reynolds-Clark: Great, thanks.
Operator: Our next question comes from David Saxon with Needham & co. Please proceed with your question.
David Saxon: Great. Thanks and good morning David and Tim. Thanks for taking my questions. I wanted to ask about sustain, another really strong quarter here. So can you talk about the durability of growth for sustain? How much runway do you have with either product iterations or geographic expansion to drive growth in that product line?
David Endicott: Yes, it's a really good question, David, and sometimes an underappreciated element of our business. That brand is well over $0.50 dollars for us and I think people just may not understand just quite how good that is. Directionally for us, the sustained brand has benefited from the preservative free form and format. Internationally, preservative free products have been around for a long time and the U.S. market has not had them. What we had anticipated was that we would cannibalize some of our own business. It just doesn't look like that's happening. So in the sustained brand we have a value brand, we have a middle brand, and then we have our top end, which is the Preservative Free Complete, so Sustained Complete Preservative Free. And we're selling all three of those quite well. So I think we've got the retail piece of this correct. The consumer is sensitive in some days. Some people want the less expensive version. Some people want the preservative-free product, and it is, quite frankly, the best one. So we're excited about what's going on there. We have launched preservative-free in most markets. I think, as I think I said, nearly 40 markets around the world. There are still a few that are in the early phases of that, but the U.S. has still got plenty of runway. I would say if you were to try and model it, I'd model it against where the penetration of preservative free products is in Europe and where it is in the United States and then just compare those numbers, it'll show you that we have a pretty good runway. The real question is only how much of our own brands will we cannibalize along the way, but directionally, as I said, we were mid-teen's growth on a pretty big number.
David Saxon: Okay. Super hopeful. Thanks for that, David. Just a follow-up on that. Maybe could you remind us where penetration is for the preservation-free in the U.S. and Europe? And then my follow-up is probably for Tim, so when AR-512 does get approved and launched, how are you thinking about marketing and promotional spend that will be required to drive that launch? How much of a drag would or could those launch investments have on margins? Thanks so much.
Tim Stonesifer: Yes, on the penetration for the multi-dose preservative free, I think the preservative free brands in Europe are about half the market. I'm going to get this mostly right, so again, you may want to check the data, but and then in the U.S., it's about 25%. So, probably half of the penetration that is currently in Europe. Oh, at 512, yes, just on the investment there, we really haven't decided that yet. So, give us a little longer to kind of work through that. I think what we're trying to figure out is we're thinking through and learning a lot about access right now. And until we really get that nailed down, I think we're going to be careful about what we say. So give me another quarter to work on that and we'll get back to you.
David Saxon: Okay, thank you.
Operator: Our next question comes from Michael Sarcone with Jefferies. Please proceed with your question.
Michael Sarcone: Good morning and thanks for taking the question. Do you think just to start, can you talk more about the China VBP opportunity specifically? Can you help us understand what you may have baked in for contribution in terms of the 2024 guide? And then how you see that potentially ramping in 2025?
David Endicott: Yes, let me try and give you some directional help without necessarily telling you what we put in the numbers here. I think the thing to remember about the China VBP is there's a committed volume to competitors, there's a committed volume to us, and then there's an up for grabs bid, and it's kind of a third, a third, a third, roughly speaking. And so remember too that this is a province by province thing, so it's going to ramp up through the back half of this year, and then obviously we'll have a full-year effect for next year, that's much more, I think, a natural number. So again, I will see how fast this moves. And again what we're excited about, truthfully, is that Vivity hasn't been in the China market until recently. And that putting it onto the VBP, I think, along with PanOptix, gives the Chinese market the two best products in the world, and they really haven't had that before. So I think they've been using a lot of older products that are bifocal. Bifocal is one of the largest segments, but again, some of that market is going to be committed to the competitors, who've had those in place for a while. So again, I think there's a lot of things moving. This is our first run at this as well, and so we'll have to learn a little bit from it with you, but we'll try and keep you up to speed on what's going on as we do.
Michael Sarcone: Got it. That's really helpful. And then just the second one, again, sticking with China. You've got the public market now with VBP. Do you expect that being in the public markets with VBP, could help your private business in any way?
David Endicott: Well, probably not. I think directionally what we've experienced when we weren't in the public market was that the private business was very aware of the public market and partly because even though we call it private, a lot of these private hospitals, the largest group in particular, takes a lot of public patients and is under a public DRG for those patients. So they are very aware of what the pricing in the VBP is and whether you're participating or not. So there's a bit of an equilibrium that gets struck here that what you're doing in the public environment is largely similar to what you're doing in the private environment, although there are obviously exceptions to that. But I think in the main, I would say doesn't really help us in a private business. We're fairly competitive there already, and again, we intend to continue.
Michael Sarcone: Great. Thank you.
Operator: Our next question comes from Brett Fishbin with KeyBanc Capital Markets. Please proceed with your question.
Brett Fishbin: Hey guys, thank you so much for taking the questions. Just had one on contact lenses. So pretty impressed by the 11% constant currency growth this quarter on a pretty tough comp. You called out a couple of the new products in toric and multifocals. Just curious if you could call out which of those launches you're seeing the most success with right now? And then maybe just as a follow-up, a little bit of a more general update on how you're viewing the competitive environment in contact lenses? And if there's any differences in how you're thinking about market growth in that sub segment relative to your comments for the whole company of like relatively in line market growth? Thank you very much.
David Endicott: Yes, look, I mean, we -- obviously we’re pleased with the contact lens performance on the quarter, I mean it was around the world, we gained quite a little bit of share globally, and in toric in particular, we moved very quickly. So I would say, if I was calling out anything right now, I would say that the toric business for us has been a real hit. And that's certainly P1 toric might be the one that's most obvious, but we didn't have DT1 toric for a really long time and I think the -- getting it to market and seeing it succeed, as well as it does has a lot to do with the brand itself, but I think directionally, both have been, those two products I think have been particularly good for us. I would also -- I just wouldn't lose the notion that total 30, which is a bit of a sleeper in people's minds, because the reusables aren't that exciting, we've got this water gradient now that makes this lens so comfortable on the 30th day that people really like it. And I would tell you that the toric for that brand and the multifocal for that brand have done some good for us. So I hate to say it's kind of across the board, because it doesn't really answer your question, but it is kind of across the board. With the -- maybe the biggest call out numerically would probably be the Precision 1 brand because it's moving the fastest and it's quite large at this point. So I think we're doing really well there with that one. And then on the competitive environment, this is a very competitive environment generally. And so certainly the folks that we compete with are good at what they do and directionally, they have different strategies around the market. We feel good about where we're positioned, both in terms of the value of each product and its pricing relative to consumer need and the proposition that it exudes. So, our P1 product is -- handles easier, it's a lower price point than DT1, but it still has water gradient. Maybe it isn't as comfortable, but it's great for kids, great for teenagers, great for kind of young adults, who maybe can't afford the DT1. But our total one product is if you've got a problem with dry eyes or anything, as you age just a little bit older, that's a great product for those patients, because it is so comfortable. It's more expensive and people can afford it at that age. So, directionally, we position these products, I think, very appropriately for the groups of folks that we know use them. And I think the last one was on the toric market growth. And the toric market growth, I'd have to look at it specifically, but I think, yes, it was about 11% for all lenses. And in the daily disposables, I'm looking at it now, it was a 27% growth in silicone hydrogel was the market. So like we said, and if you look at all dailies, it was 17%. So we grew very, very quickly because we're in the -- we were growing share in kind of the fastest growing sectors of the market, if you will. And that's kind of been our strategy, right? Get into where we are under-indexed and grow there, and then get into the fastest parts of the market and grow there.
Operator: Our next question comes from Issie Kirby with Redburn Atlantic. Please proceed with your question.
David Endicott: Issie, are you there?
Tim Stonesifer: Can't hear you, Issie.
Operator: Okay, we'll move to the next analyst then. Our next question is from Anthony Petrone with Mizuho Group. Please proceed with your question.
Anthony Petrone: Thanks, and congrats here on the quarter. One on contact lenses and then one on margin. Just on contact lenses, wondering where the manufacturing capacity or utilization, I should say, on the DSM flex lines is today. So what percent of overall volume are running through those new manufacturing lines? And is there still more margin upside to be had as you transition more volume there? And then just the broader margin question is on just sort of the outlook for the year. So overall corporate adjusted operating margin comes into ‘22. We had 130 basis points of FX headwinds impacting that. So 23.5% in the guide is unchanged here. So maybe just a little bit on what amount of FX headwind is baked into the guidance at the margin level? And what is just additional spend and maybe some headwinds at the mix front perhaps. Thanks again.
David Endicott: Yes, thanks Anthony. Let me take the first one and Tim can grab the margin piece. The contact lens business is really strong for us and I would read the DSM flex lines as producing total 30 and the Precision 1 brands and all the different forms of them. So toric, sphere and Multifocal. So I think that's probably what I would give you there in terms of directional capacity. We've got plenty of capacity and we have plenty of machines on order to the extent that we continue to see demand as robust as it has been. So I don't think there's any concern there. I do think there is more operational efficiency as we learn to get these machines up faster. It doesn't take us quite as long as it used to get them up to design speed. And then as these machines mature after a couple of years, we continue to improve the overall output. So I think you're not wrong to think about the slow steady improvement on the Vision Care margin from the gross margin side, but I would say that our thesis on most of that business is operational leverage. So less gross margin and think more about the operational leverage where sales are growing a good bit faster than cost.
Tim Stonesifer: Yes, and I would just say, Anthony, on the margin front as that incremental FX, a vast majority of that is going to hit in Q2 and Q3 when you think about the total year. As we talked about earlier, when you look at the 22%, there is some timing in there. If you think about the duties I've mentioned and the fact that we plan on spending at the high end of the R&D as a percent of revenue. So that will cause a little bit of pressure as you go out through the course of the year. And then also, as you know, Q2 as an example, just typical seasonality, that is a heavy M&S spend for us as we get ready for back to school, so those are kind of the pressure points that you'll see as we go through the course of the year, but we feel very good about the guide out there and as I said we're turning toward the midpoint right now.
Anthony Petrone: Thanks again.
Operator: Our next question comes from [Sergie Osner] (ph) with HSBC. Please proceed with your question.
Unidentified Analyst: Hi, thanks for taking my questions. One on high interest rates, please. Do you think that the slowness in ATIOL penetration in the U.S.? Has anything to do with high interest rates or does it have more to do with composition? That's number one. And number two would be in contact lenses. Do you think you've grabbed market share sustainably in the target products? And where do you see your market share now? Thanks.
David Endicott: Yes, I mean, the second one first, sustainability of market share is very durable in contact lenses. So new wearers in particular are kind of the whole game. You can get switch wearers and those are you can get them, but they're hard. But once you have a patient, typically they stay in the lenses they're in if they're comfortable. If they're not having a problem, almost always you get four or five years out of that patient. I think on average we use something like 4.5 as the average wearer. But you see patients in the same lens as they've been in for 20 years. So again, there is a really, really nice market. The challenge, of course, is that market shares move slowly. The benefit is that they move slowly. And so you end up really with a very sustainable market position, which is what we're excited about really with the contact lens business that we see now. I would say on the interest rates, really neither competition nor interest rates are related to the ATIOL penetration. I would just say everybody is involved in the ATIOL market, has watched this over the years, would say that, look, it has historically been the case that when there are new products that had a benefit, they would move penetration up meaningfully for a short period of time, and then it would kind of settle in for a little bit, and then it would start moving again. And historically if you took and drew a line for the last 20-years on ATIOLs you'd find about 50 basis points a year. We ran through about 300, 400 basis points when we launched PanOptix and Vivity. I think the market is settling into that composition right now and I think as new surgeons come on and become more equipped to do ATIOLs, we'll be able to move the penetration. But I would think about it going forward as largely around the 50 bps a year because that's kind of the historical rate. So I think that's the short version.
Unidentified Analyst: Thanks so much. Just a small follow-up there. Do you see the interest rates playing any role at all in the equipment business? Because some of your peers have been talking about interest rates being high and limiting capital appetite, CapEx appetite for customers?
David Endicott: It hasn't been an effect for us, but again I would just say that our equipment business you know we had a really big quarter last year on equipment and we still grew equipment even despite, I think some hesitation around wanting to buy new Phaco equipment. But I think, we've also got some new equipment that we're taking share with that has been helpful. So our handpiece and our microscope and our biometer and a number of other products I think have been doing quite well. So I think directionally, I think we're performing against what could be -- interest rates in equipment have historically been related, but I haven't -- we just haven't seen it lately. Q - Unidentified Analyst Perfect. Thanks so much.
Operator: Our next question is with Issie Kirby from Redburn Atlantic. Please proceed with your question.
Issie Kirby: Hi, guys. Sorry about that. Can you hear me now?
David Endicott: Yes, we got it.
Tim Stonesifer: Yes we can.
Issie Kirby: Great. Thank you so much. Apologies if this has been answered while I fix my headset, but I just wanted to dive into the vision margins a little bit more. Obviously, you had a really nice step up there, Q-on-Q. I'm just wondering, I guess, around the sustainability of that margin, both throughout the rest of the year, and then as we look forward sort of towards the midterm plan as well, given just the strength this quarter? And then secondly, within that vision margin, it would be really helpful if you could give us some color both, I guess, in terms of the margin level, but also the direction between contact lenses and ocular health, as well, given from what I understand there's quite a big differential between the margin profiles of those two businesses? Thank you.
Tim Stonesifer: Yes, so as far as the sustainability, so to your point, we had a very nice quarter that we were pleased with. We were at 450 basis points in constant currency. So that would be 400 basis points in USD. There is some phasing in there. Again, the duties would heavily impact the Vision Care margins. Some of that R&D would be in the Vision Care margins as well. So there are some headwinds or tailwinds in that I should say. If you look at the total year, we feel very comfortable that we will increase margins year-over-year as we did last year. So we have a lot of momentum in that business. As we said on the prepared remarks, a lot of the investments we've made are starting to come through in the P&L, which is nice to see. As far as the margin level contact lenses versus Ocular Health, I would say Ocular Health for the most part is above company average and contact lenses is a little bit below, depending on whether it is dailies or reusables.
David Endicott: Yes, we probably have a little bit of mixed benefit, but I wouldn't read a lot into that. I mean, there's some that could help -- eyedrops have done well for us, and so as reusables. And again, both of those would be higher margin than the daily disposables. But dailies are still the mainstay of our contact lens business and the Vision Care business.
Issie Kirby: Okay, great. That's helpful. Thanks, guys.
Operator: Our next question comes from Tom Stephan with Stifel. Please proceed with your question.
Tom Stephan: Great. Hey, guys. Thanks for squeezing me in. Two questions on contact lenses, really strong performance in the quarter. David, you gave some great color on the drivers. I guess my question is, is continued low-double-digit growth maybe the right bar to think about for 2024? I guess notably as comps actually ease a little bit rest of the year. And then my follow-up is just on Precision 7. Can you update us on what the latest is with timing there? Thanks.
David Endicott: Yes, look, I mean, I think the best I could do with the forward look is what we always kind of say, and I don't mean to be vague, but I would think about the market. The market grew 7% in the first quarter, so we were pleased with the 11%, and we are growing faster than the market in a fair bit. So I do think that you should start with what do you think market growth is going to be? And we would say on the high-end of mid-single-digits. And then I think directionally after that, we continue to gain share. If you believe that, then we'll grow faster than that. And the benefit of that is, of course, that as I said earlier, a good bit of the mix right now is coming from higher valued products. So think about the toric as being more valuable than the sphere. Think about the reusables being more valuable to us profitably than the dailies. But P7 will also benefit us because of course it's a reusable lens at the one week frame. And the timing on that, we've been slow to bring it out. We've made it, it’s ready to go. It's approved. We've been holding it I think to a large degree to allow the sales force to continue with the very busy schedule, they have promoting, the products we've got. So we're making such good progress right now on so many fronts that we'd like to kind of hold this one off. I think we're probably going to do something with it later this year and then probably think about it as a full launch next year.
Tom Stephan: Helpful.
Operator: We have reached the end of our question-and-answer session. I would now like to turn the floor back over to Dan Cravens for closing comments.
Dan Cravens: Great. Thanks again for joining us today. If you have any follow-up questions, certainly reach out to the Investor Relations department for investors or corporate communications for media. Thanks.
Tim Stonesifer: Appreciate the interest.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.